Operator: Good morning, and welcome to the Host Hotels & Resorts First Quarter 2023 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to Jaime Marcus, Senior Vice President of Investor Relations.
Jaime Marcus: Thank you, and good morning, everyone. Before we begin, please note that many of the comments made today are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today’s call, we will discuss certain non-GAAP financial information, such as FFO, adjusted EBITDAre and comparable hotel level results. You can find this information together with reconciliations to the most directly comparable GAAP information in yesterday’s earnings press release and our 8-K filed with the SEC and in the supplemental financial information on our website at hosthotels.com. With me on today’s call are Jim Risoleo, President and Chief Executive Officer; and Sourav Ghosh, Executive Vice President and Chief Financial Officer. With that, I would like to turn the call over to Jim.
Jim Risoleo: Thank you, Jaime, and thanks to everyone for joining us this morning. We kicked off the first quarter of 2023 with meaningful outperformance, delivering a RevPAR improvement of 31% compared to the first quarter of 2022, exceeding the top end of our first quarter RevPAR guidance by 4 percentage points. During the first quarter, we delivered adjusted EBITDAre of $444 million and adjusted FFO per share of $0.55. Our comparable hotel EBITDA of $439 million in the first quarter was 18% above 2019 and 44% above 2022, driven by both occupancy increases and continued rate strength, particularly in the group business segment at our downtown hotels. First quarter comparable hotel EBITDA margin of 32.5% was meaningfully ahead of 2022 and exceeded 2019 for the fourth consecutive quarter. Our strong performance in the first quarter, coupled with our improved outlook for the year, allowed us to substantially raise and tighten our full year RevPAR growth guidance range to 7.5% to 10.5%, nearly doubling the midpoint of our full year expected RevPAR growth to 9% from 5% last quarter. This marks the fourth consecutive quarter since the onset of the pandemic that we have achieved RevPAR, adjusted EBITDAre and EBITDA margins ahead of 2019. And at the midpoint, our full year 2023 RevPAR guidance is 7% above 2019. Our outperformance is a result of the capital allocation decisions made over the last 6 years and our unwavering focus on expense control and margin improvement. It is worth noting that at the 9% midpoint, we raised our adjusted EBITDA guidance by $125 million, which is significantly above our first quarter outperformance of over $40 million relative to consensus. Lastly, at the midpoint of our range, our full year 2023 EBITDA is forecasted to be 3% above 2019. We are also providing second quarter comparable hotel RevPAR growth guidance of 4% to 6%. Sourav will discuss our updated guidance assumptions in a few minutes. On the capital allocation front, during the first quarter, we sold the 277-key Camby Autograph Collection Hotel in Phoenix, Arizona, for $110 million or 14.3x trailing 12-month EBITDA. When calculating the EBITDA multiple, we included approximately $23 million of estimated foregone near-term CapEx. In connection with the sale, we provided a $72 million loan to the purchaser with up to an additional $12 million available for a property improvement plan not to exceed a 65% loan-to-cost ratio. During the quarter, we also repurchased 3.2 million shares at an average price of $15.65 per share through our common share repurchase program, bringing our total repurchases for the quarter to $50 million. Over the past 2 quarters, we have repurchased $77 million of stock at an average repurchase price of $15.75 per share. We have approximately $923 million of remaining capacity under the repurchase program. We continue to be optimistic about the state of travel today despite the underlying uncertainty in the economy and lack of clear visibility in the second half of the year. We are not seeing any signs of a slowdown and our outlook for the rest of the year has improved since our last earnings call. Leisure rates remain well above 2019 levels and the moderation we saw in the second half of last year plateaued in the first quarter. For context, transient rates at our resorts were 54% above 2019 in the first quarter, which was in line with the fourth quarter. On the group front, in the first quarter, we booked over 500,000 group rooms for 2023 and total group revenue pace is now 2.5% ahead of the same time in 2019. The group booking window is extending as most of our top markets picked up more group rooms for 2024 in the first quarter than the same time 2019. While business transient demand is continuing to evolve, rates in the first quarter were up 10% to 2019, with demand holding steady compared to the fourth quarter. Turning to first quarter results, comparable hotel RevPAR for the first quarter was approximately $218, a 31% improvement over the first quarter of 2022 and a 7.4% improvement over the first quarter of 2019. Comparable hotel revenues in the first quarter were up 11% over 2019 and 34% over 2022, respectively, while comparable hotel operating expenses were up only 9% over 2019 and 30% over 2022. Transient revenue was 13% above the first quarter of 2022 as a result of increased occupancy and easier comparisons due to Omicron, which allowed our managers to push rate higher. Revenue growth was primarily driven by our downtown hotels. Our resort properties continue to outperform with 1% transient rate growth over 2022. In the first quarter, we had 6 resorts with transient rates above $1,000, led by the Four Seasons Resort in Residence, Jackson Hole at nearly $3,000 and the Four Seasons Resort Orlando at Walt Disney World Resort at over $2,000. As a reminder, Hyatt Coconut Point and the Ritz-Carlton, Naples are both excluded from our comparable hotel results due to impacts from Hurricane Ian. Hyatt Coconut Point has been opened since November, and the final phase of restoration is expected to complete in mid-June with the reopening of its water park complex. The Ritz-Carlton Naples remains closed. However, we are nearing the end of our reconstruction efforts, which will enhance the resiliency of the property by elevating critical equipment, improving dry flood proofing measures and replacing major equipment with more efficient machinery. We have targeted reopening the resort, including the new 74-key tower expansion in July. We are excited to showcase the transformational repositioning of the Ritz-Carlton Naples. As of today, we have received $98 million of insurance proceeds of the expected potential insurance recovery of approximately $310 million for covered costs. The proceeds received to date have all been classified as property damage. As a reminder, these two properties were expected to contribute an additional $71 million of EBITDA this year, which is not included in our full year guidance. Turning to group. This is the third consecutive quarter group revenue exceeded 2019, driven by 14% rate growth over the same time in 2019 with over 1 million group room nights sold. Definite group room nights on the books for 2023 increased to $3.4 million in the first quarter. Which represents approximately 94% of comparable full year 2022 actual group room nights, up from 80% as of the fourth quarter of 2022. Total group revenue for the first quarter was 7% ahead of 2019, driven by continued elevated banquet and AV spend. For full year 2023, Group rate on the books is up over 6% to the same time last year, a 90 basis point increase since the fourth quarter. In addition, total group revenue pace is up approximately 25% to the same time last year. We continue to be very encouraged by the large group base we have on the books, particularly when you consider that our – in the quarter for the quarter bookings, remain elevated at 28% above the same time 2019. Sourav will touch on additional operational details and our updated 2023 outlook in a few minutes. Our recent acquisitions continue to contribute to our outperformance and are meaningfully ahead of our underwriting expectations. Based on full year 2023 forecast, EBITDA from the 8 hotels we acquired in 2021 and ‘22 is comfortably within our targeted range of 10 to 12x and well ahead of our underwritten stabilization period. Looking back on our transaction activity since 2018, we have acquired $3.5 billion of assets at a 14x EBITDA multiple and disposed of $5 billion of assets at a 17x EBITDA multiple, including $976 million of estimated foregone capital expenditures. Comparing all owned hotel 2022 results for our current portfolio to 2017, we have increased the RevPAR of our assets by 9%, the TRevPAR by 15% and the EBITDA per key by 31%. Moving on to portfolio reinvestment, during the first quarter, we completed comprehensive renovations at the Marriott Marquis San Diego Marina, bringing the number of completed properties in the Marriott Transformational Capital Program to 15 out of 16 assets. The final property in that program, the Washington Marriott and Metro Center, is underway, and we expect it to be completed in May. We also completed our comprehensive renovation of the Westin Georgetown, Washington, D.C. during the quarter. In addition to these completed renovations, we are excited to announce our plans to develop and sell 40 fee-simple condominiums on a 5-acre development parcel at Golden Oak in Orlando, adjacent to our Four Seasons Resort Orlando at Walt Disney World Resort. The development will feature a 31-unit mid-rise condominium building and 9 detached condominium villas. We signed a contract to purchase the 5-acre development parcel for an additional $30 million at the time the resort was acquired. We are targeting a mid- to high teens cash-on-cash return for this ROI development project. Construction is expected to begin in the fourth quarter of 2023 and complete in the fourth quarter of 2025 with sales tentatively scheduled to commence in the first half of 2024. For the full year, our 2023 capital expenditure guidance range remains at $600 million to $725 million which reflects approximately $275 million of investment for redevelopment, repositioning and ROI projects and $100 million to $125 million for hurricane restoration work. The projects include a transformational renovation of the Fairmont Kea Lani, the Phoenician Canyon Suites Villa expansion, the Four Seasons Orlando at Walt Disney World Resort luxury condominium development and completing construction of the tower expansion, guestroom renovation and lobby transformation, a Ritz-Carlton Naples Beach, which was delayed by Hurricane Ian. In closing, we are very pleased with our strong first quarter performance and our improved outlook for the rest of the year. We believe Host is well positioned to outperform in the current macroeconomic environment. We have a best-in-class balance sheet. We are diversified across geographies and business mix. We have redefined the operating model and we have transformed our portfolio through reinvestments in transactions, which taken together have dramatically improved the EBITDA growth profile of our portfolio. With that, I will turn the call over to Sourav.
Sourav Ghosh: Thank you, Jim, and good morning, everyone. Building on Jim’s comments, I will go into detail on our first quarter operations, our updated 2023 guidance and our balance sheet and dividend. Starting with business mix, overall transient revenue was up 13% to the first quarter of 2022 driven by over 9 points of occupancy growth and continued strength in leisure rates. Our downtown hotels led revenue growth as strong demand fueled significant rate increases. Holiday performance in the first quarter was strong, particularly at our downtown hotels. Downtown hotels saw increased leisure demand over last year, gaining more than 10 points of occupancy for both Martin Luther King Jr. and President’s Day weekends. Downtown properties also drove overall portfolio spring break RevPAR growth of 7%, which is quite impressive when you consider the elevated resort comparisons from the "mother of all spring breaks" last year. Quickly looking forward to holidays in the second quarter, room revenue pace is up low single digits over last year for Memorial Day, Juneteenth and the fourth of July. Resorts in the first quarter saw an overall RevPAR increase of approximately 5% compared to 2022. As expected, the return of Caribbean tourism let consumer hesitancy to travel to downtown markets and lower repeat travel to Florida markets impacted performance at our resorts. However, the impact was not as significant as we expected. And it is notable that Miami, Jacksonville and the Florida Gulf Coast are still significantly outpacing 2019 RevPAR levels by an average of over 30%. Our resorts in Hawaii achieved 11% RevPAR growth over last year, entirely driven by rate. Business transient revenue was down 14% to the first quarter of 2019, which represents a 400 basis point sequential improvement to the fourth quarter. Downtown properties accounted for over 60% of the portfolio’s business travel demand and small and medium-sized businesses continue to drive the recovery, representing approximately 75% of our business transient demand today compared to approximately 60% at the same time in 2019. It is also worth noting that business transient revenue was only down 7% to 2019 in the month of March. Turning to group. This marks the third quarter that group revenue has surpassed 2019 levels. Group room revenues were 4% above the first quarter of 2019, driven by a 14% rate growth. Phoenix, San Diego and Miami, drove group room revenue growth compared to 2019. The short-term booking trend continued with a pickup of 102,000 room nights or 28% of rooms booked in the quarter for the quarter. Near half of the in the quarter for the quarter rooms booked were in San Francisco, Washington, D.C. and New York. Corporate group room revenue was above 2019 for the third consecutive quarter, up 6% in the fourth quarter, driven by 26% rate growth. Association Group revenue has nearly recovered down just 2% in the first quarter compared to 2019, driven by 1% rate growth. Wrapping up on group with social, military, educational, religious and fraternal or SMERF groups, revenue was 12% above 2019, driven by 8% rate growth. Shifting gears to margin performance. Our first quarter comparable hotel EBITDA margin came in at 32.5% which is 175 basis points better than the fourth quarter of 2019 and 220 basis points better than the first quarter of 2022. All departments had margin improvements compared to 2019. Compared to 2022, all departments, except for other revenues had margin improvement as attrition and cancellation revenue was below 2022. Margin expansion can be attributed primarily to rate growth, banquet and AV growth and our efforts to redefine the operating model, and we are encouraged that we were able to maintain last quarter’s margin expansion compared to 2019 in the first quarter. Turning to our updated 2023 guidance. We significantly raised and tightened our full year comparable hotel RevPAR growth range to 7.5% to 10.5%. Our improved outlook is driven by outperformance in the first quarter, better visibility into the second quarter and continued strong group booking activity in the second half of the year. As it relates to the business transient recovery, it is worth noting that we may not see a decrease in demand if a slowdown occurs in other parts of our business as business transient demand is still not fully recovered to 2019 levels. Given the continued macroeconomic uncertainty, our guidance range contemplates a varying degree of a slowdown in the second half of the year, particularly for the Group segment. Further improvement will continue to depend on the broader macroeconomic environment, our ability to maintain high rated business in resort markets and the continued improvement of group, business transient and international inbound travel. In this context, we would expect year-over-year comparable hotel RevPAR percentage changes in the second half of the year to be up low single digits at the midpoint of our guidance. As Jim mentioned, at the midpoint of our guidance, we anticipate comparable hotel RevPAR growth of 9% compared to 2022, comparable hotel EBITDA margin of 30.2% and with a 65 basis points ahead of 2019 and full year adjusted EBITDAre of $1.585 billion. We expect our operational results to roughly follow 2019 quarterly seasonal trends as provided on Page 13 of our supplemental financial information. As a reminder, our 2023 full year adjusted EBITDAre guidance includes an expected $17 million contribution from Hyatt Coconut Point and the Ritz-Carlton, Naples, both of which are excluded from our comparable hotel results due to impacts from Hurricane Ian. The $17 million expected contribution from these two hotels is up from $11 million as of our year-end guidance as a result of better performance at the Hyatt Coconut Point. The pre-hurricane estimated contribution from these two hotels, including the new tower at the Ritz-Carlton, Naples, was expected to be an additional $71 million in 2023. It is also important to note that we have not included any expected business interruption proceeds from Hurricane Ian in our 2023 guidance. In addition, we removed approximately $5 million of adjusted EBITDAre associated with the sale of The Camby from our full year guidance range. As we discussed last quarter, and noted throughout 2022, year-over-year, we expect comparable hotel EBITDA margins to be down 200 basis points at the low end of our guidance to down 130 basis points at the high end due to closer to stable staffing levels at our hotels, higher utility and insurance expenses and lower attrition and cancelation fees. It is important to note that we expect margins in 2023 relative to 2019 to be up 25 basis points at the low end of our guidance to up 95 basis points at the high end. Despite lagging occupancy and 4 years of inflationary pressures, this reflects our efforts to transform the portfolio and evolve the hotel operating model. As we have discussed in the past, it is particularly impressive when you consider that our forecasted total hotel expense CAGR from 2019 to 2023 is only 1.8% versus the forecasted core CPI CAGR of 4% over the same period. Turning to our balance sheet and liquidity position. Our weighted average maturity is 5 years at a weighted average interest rate of 4.5% and we have no significant maturities until April 2024. We ended the fourth quarter at 2.2x net leverage, and we have $2.3 billion of total available liquidity, which includes $203 million of FF&E reserves and full availability of our $1.5 billion credit facility. Wrapping up, in April, we paid a quarterly cash dividend of $0.12 per share. All future dividends are subject to approval by the company’s Board of Directors though we expect to be able to maintain our quarterly dividend at a sustainable level, taking into consideration potential macroeconomic factors. To conclude, we are very pleased with our recent operational performance, particularly relative to 2019 and our outlook for the remainder of the year is cautiously optimistic. In any scenario, we believe our portfolio, our balance sheet and our team are well positioned to continue outperforming, and we will continue to be strategic in the current macroeconomic environment. With that, we would be happy to take your questions. To ensure we have time to address as many questions as possible, please limit yourself to one question.
Operator: [Operator Instructions] Your first question for today is coming from Aryeh Klein at BMO Capital Markets. Aryeh, your line is live.
Aryeh Klein: Hi, thanks and good morning. Sorry about that. Just maybe relative to the prior outlook what’s been the biggest surprise to the upside that’s giving you the confidence to increase the outlook particularly in the second half of the year?
Jim Risoleo: Yes, Aryeh, I think the fact that all three segments, it’s not isolated to any one of our business segments, but all three segments are really firing on all cylinders. We haven’t seen any slowdown in the leisure segment, as Sourav mentioned, we’re up 5% in RevPAR growth in Q1 in the leisure segment of our business, and we had six resorts that had transient revenues of $1,000 or greater. So it’s apparent to us that the well-heeled leisure consumer continues to want experiences. They want experiential experiences. The shift from goods to travel and other experiences has occurred and it’s real and it’s very sticky. And that’s notwithstanding the fact that we anticipated that there was going to be a natural migration out of the resorts as people got more comfortable traveling internationally to the Caribbean, to Europe and to other places and going back to our downtown hotels. Which leads me to the next piece of the business. Our downtown hotels have really seen business return in a material way. And not only business transient but leisure business. So we feel really good about the way the recovery is unfolding and the way things are pacing for the leisure consumer. Group is really firing on all cylinders. Total group revenue pace is now up 2.5% to the same time in 2019. Group rate on the books for 2023 is up nearly 6.4% to the same time last year, and that’s a 90 basis point increase since the fourth quarter. We’re still seeing, as Sourav mentioned, a significant amount of bookings occurring in the quarter for the quarter. I think last quarter it was 28% compared to 2019. We’re up 3.4 million room nights definite on the books now. That’s 94% of 2022 actual relative to where we were in last quarter, I think it was about 80%, somewhere in that range. So we saw a significant pickup and business transient continues to evolve as well. We’re seeing the recovery in BT led by small and medium-sized businesses. As well as increased rate being driven by special corporate. So I think it’s all of the segments are really firing on all cylinders. And I’ll let Sourav add a little more color on BT.
Sourav Ghosh: Hey, Aryeh, I think specifically, when you look at the second half, what really gives us confidence is the group booking activity for the second half, we picked up 237,000 room nights. Just to put that into perspective, that’s 35% more than what we picked up in Q1 of ‘19 for the second half of ‘19. So real apart from just in the quarter for the quarter group pickup, it was really encouraging to see meaningful activity not only for Q2. Q2, we picked up about 180,000 room nights, that’s 13% above ‘19 but also for the second half of the year.
Aryeh Klein: Thanks.
Jim Risoleo: The last thing I would add is that as we thought about Q2 in connection with our fourth quarter call, we were looking at a scenario where we were anticipating flat RevPAR growth for Q2. Now we have given you RevPAR growth of 4% to 6%.
Aryeh Klein: Thanks for that color. And if I could just ask on Orlando and the condo development there, if you could just give a little additional context on that decision, maybe what you expect the total cost to be and whether or not there are similar types of opportunities that you could potentially pursue?
Jim Risoleo: Yes. The thought behind the condo development adjacent to our Four Seasons Resort was an ROI project that we anticipate is going to generate cash-on-cash returns in the mid- to high teens on the development and sell-out as a stand-alone venture, they are going to be Four Seasons branded units, which is a very, very attractive branding to have whenever you’re building and selling something of this nature. Additionally, what we have been taken into consideration is the uplift that the hotel is going to received from having these 40 additional units adjacent to it in terms of food and beverage spend, spa spend, golf spend, all the ancillary revenues that are going to be driven, which we believe are real and sustainable at the hotel property. So the total cost is going to be somewhere in the area in $150 million to $170 million. And with respect to whether or not we have other opportunities, as you know, we have an ongoing pipeline of ROI projects that Host. And we are constantly working on additional ways to enhance shareholder value through deploying capital in ROI projects. To remind you of some of the ones that we’ve done in the past, we built 19 villas at the Andaz Wailea on Maui. We built the AC Kierland on a parking lot at Westin Kierland Resort in Phoenix. We’re doing the expansion of the Phoenix of the Canyon Suites at the Phoenician. So we have other projects in the pipeline, but we have always been very thoughtful, I think, with respect to our messaging, and we do not message these projects until we’re confident that we have the entitlements and we’re confident that we’re going to move forward with them.
Aryeh Klein: Thank you.
Operator: Your next question for today is coming from Anthony Powell at Barclays.
Anthony Powell: Hi, good morning. Question about, I guess, you’re growing a bridge loan book. I think you have two loans expiring later this year. Have you started to talk with the borrowers about extending those loans? And just generally, how much capital are you willing to have tied up in these loans going forward?
Jim Risoleo: Well, I think, Anthony, that we expect both of the loans on the share – both Sheratons to be repaid in the second half of the year. The loans are in compliance with the loan documents, payments are current. Both of the borrowers fully anticipate that they are going to be in a position to pay us back. So we have no concerns with respect to getting repaid on those loans. With respect to the Camby, it was a unique situation. We had acquired the Four Season Jackson Hole in 2022. And we made a decision that Camby wasn’t an asset that we needed to own or wanted to own for the long-term, given the amount of CapEx that needed to go into the property and our terrific exposure in the Phoenix metropolitan area with the Phoenician and the Westin Kierland we’ve got, I think the two best resorts in the market. There is some new supply coming into the Phoenix area. And we made a decision that at $110 million, it made sense to sell that hotel. We wanted to make certain that we could take advantage of the reverse like-kind exchange opportunity by investing by designating the proceeds from that asset as a reverse like-kind exchange into the Four Season Jackson Hole property because we had a very low basis in the asset. So that was one of the reasons that drove us to provide solid financing. I’ll just – I’ll make a broader comment. First of all, I don’t see us doing this on any broad scale. And it’s for a number of reasons. Number one, we don’t – we’re – the portfolio is in a really terrific position right now. Given the capital allocation decisions that we’ve made over the last 6 years, from 2018 forward, we have sold $5 billion plus of assets and really have called the assets that we dumped, but we didn’t want to own for the long-term out of the portfolio. So I don’t see us doing many more bridge loans, if any more bridge loans today. But the assets that we have sold, not greater than I think 65% to 70% loan to value. So we’ve gotten a nice slug of equity in connection with the sale. And if something were to go south, what we do for a living is on hotels. So I wouldn’t bother us at all if we had to take a property back.
Anthony Powell: Thank you for the detail
Operator: Your next question for today is coming from Smedes Rose at Citi.
Smedes Rose: Hi, thanks. I wanted to ask you just a little bit more on the group side as kind of what you’re seeing in terms of kind of the composition of demand? Is it mainly coming from smaller groups? Or are you seeing a return of kind of Fortune 500 bookings and kind of maybe you could talk about that a little bit? And then just with that, could you just touch on what you’re seeing in some of the larger relatively recently renovated marquee properties in San Diego, San Francisco and maybe New York.
Sourav Ghosh: Hi, Smedes. On the group front, it is certainly more so being driven by smaller corporate groups. One thing which came back meaningfully and I talked about this in my prepared remarks, was Association is now down only 2% in terms of group revenue to 2019. Corporate group revenue up 6% to 19% and 26% was driven by rate in the first quarter. So a meaningful pickup in corporate group revenue – the gap right now, I would say, is really on citywides. We are, for 2023, about 83% of where citywide room nights were back in on 2019. So there is still a long way to go in terms of citywide pickup. But overall, what really is picking up, we saw corporate group continuing in last year and multiple quarters, and we saw the same thing happen in Q1, but the big comeback has really been association, which we are seeing meaningful activity not only into Q2, but as well as the second half.
Smedes Rose: Okay, thanks. And then just quickly on your Four Seasons, the condo development, would you expect any disruption to the hotel? Or is it far enough away that it won’t impact your guests?
Jim Risoleo: Not anticipating any disruption, Smedes.
Smedes Rose: Thank you, guys.
Operator: Your next question for today is coming from David Katz at Jefferies.
David Katz: Hi, good morning, everyone. Thanks for taking my question. I just wanted to follow on to that commentary, which, Sourav, I know you repeated in terms of the makeup of the group business strength. Is there any commentary or any color with respect to large corporate groups and the citywides, meaning, have they just not gotten around to booking yet? Is there is some expectation or is there some trepidation to it? How should we look into that?
Sourav Ghosh: David, if you think about sort of where the big citywide come from? And just to put into perspective for Host for our portfolio, we have about 20% to 25% of our overall group room nights that really come from citywide. We have done a really good job across the board, bringing in in-house groups which are self-contained. And with a lot of our hotels where we’ve expanded meeting space, we now have the ability to actually house the groups completely in-house and are less dependent on city-wides. But in general, if you think about a lot of the convention centers that were actually closed during the pandemic just in terms of sales staff gearing up and selling those cities, there is more of a ramp-up time, and we were talking about this last year, how you were expecting that citywides would be sort of the last ones to come back in a meaningful way. It certainly is very, very market specific. As you well know, like when you look at San Francisco, that’s pretty meaningfully relative to pre-pandemic levels. But other places where we are seeing actually group bookings, which are being driven by citywide and have a good citywide pickup into future years are cities like Boston, like San Antonio, like Chicago. So, it is coming back, but it’s just a matter of the entire sales staff getting all geared up and selling those cities. But so we do expect that to further ramp up with time.
David Katz: I see. So, we should take it as further upside. And if I can sort of follow-up to the strong results and the guidance that you have already given us, by the way. If I can just follow-on with respect to San Francisco, because it is a city is a matter of debate. My sense is that you have done reasonably well there. Can you just talk about what’s going on there for you and sort of how you are differentiated than what we have seen in other areas?
Jim Risoleo: Sure. I will share our broader thoughts, and then Sourav can get into a little more detail on what happened in San Fran in the first quarter and how we are thinking about it for the balance of the year. So, the city clearly has its challenges. There is no question about it. I will tell you, we are not writing San Francisco off. I think we have a Mayor in that city that is committed to fixing the actual problems and then dealing with the perception as well. From our perspective, we feel very good about the assets we own there. Given their location and many of you on the call have recently visited our Moscone, Marriott Marquis in connection with NAREIT. So, you know what type of asset it is. It’s in great shape. It’s been fully renovated and repositioned and it is Main in Main for any business that is going to book through the Moscone Convention Center. And it is an asset that is extremely well set up to go after and bring in in-house group. So, we have that hotel and then we have the Grand Hyatt on Union Square another terrific property. So, as we think about the assets we own in that market generally and then the third material asset is the Marriott Fisherman’s Wharf, which is a leisure hotel as opposed to group and citywide property. We like the assets we have. We like the condition that they are in. So, we are in a pull position to really take market share and be the first to fill as business returns. And we have seen some good results, and I will let Sourav get into that with you in a moment. Now, I don’t want you to think that we don’t have concerns about San Francisco because we do absolutely have concern about how the market is performing relative to 2019 and what happened with the layoffs in the world of tech and the like, and return to office in that market is really lagging the rest of the country. But it is the center of tech and it’s going to be the center of artificial intelligence as the world returns. So with that, I will let Sourav give you some specifics on how our hotels performed in the market.
Sourav Ghosh: For the San Francisco market, we were around 61% occupancy or so at about $291. While RevPAR overall relative to ‘19 is down 27.5%, we did actually exceed our expectations by about 1.5% or so. And that was driven by strength of group, but in particular, with the return of the JPMorgan Group. Food and beverage did really well. We were actually up almost 10% compared to our forecast. And this is due to just the increase in contracted banquet minimums, which frankly, we have been seeing across the board, but really did help San Francisco quite a bit. We do see a lot of in the quarter for the quarter pickup in San Francisco, a lot of the rooms that were actually booked a big piece of it was San Francisco that we picked up in the quarter. Overall, when we are looking out for the rest of the year, there are a few citywides that are there. I think for 2023, the total number of citywides is about 34. And then another 20 citywides confirmed for 2024. So, there is certainly – I would be cautious and say somewhat of a positive trend. And while it’s a lot of it is short-term and not necessarily long-term pickup. There is certainly some green shoots in San Francisco.
David Katz: Really appreciate it. Good quarter. Well done. Thanks.
Operator: Your next question is coming from Michael Bellisario with Baird.
Michael Bellisario: Thanks. Good morning. Probably for Sourav here on the expense side of the P&L, are you seeing any easing of the cost pressures or the hiring challenges that you have mentioned previously? And then do you have any updated forecast where you see wages and benefits tracking for the remainder of the year? Thanks.
Sourav Ghosh: Yes. Our outlook in terms of wage and benefit for the year, year-over-year increase is still at the 5%-ish. Don’t expect that to change for the year. We are tracking well on that. In terms of just overall staffing, given where our business volumes are right now, we feel pretty good. I would say we are fully staffed across the portfolio and are not seeing any major challenges. I mean it still is in certain markets, difficult to hire a line cook. But apart from that, we are lucky where we are predisposed to primarily Marriott managed and Hyatt managed hotels, brand-managed hotels, which they do a really good job of acquiring talent and retaining talent and really are pushing for hospitality as a career, which has made it much easier to staff-up, not only staff-up, but really get quality talent into our hotels.
Michael Bellisario: Thank you.
Operator: Your next question is coming from Bill Crow at Raymond James.
Bill Crow: Hey. Good morning everybody. Jim, or maybe this is more of a Sourav question. When you look at BT travel specifically, and you take out the higher rates that we have seen. Where is occupancy or demand depending on how you want to look at it relative to ‘19? How big is that gap?
Sourav Ghosh: Yes. That gap from a volume perspective, depending on the market, Bill, is still down anywhere from 15% to 20%. We obviously had a meaningful rate pick up, which – so if you look at sort of March, I said in my prepared remarks, our overall BT revenue is now down only 7% to 2019. But it is really market dependent. Certain markets are ahead. New York, for example, is meaningfully ahead almost close to where we were back in 2019. But I would say, in general somewhere between down 15% to down 20% in terms of volume.
Bill Crow: Thank you for that. And then do you expect that, that gap can be narrowed further this year, or do you think that given the overall cost of travel, the macro headlines and tech layoffs, all that other stuff that we read about. Is that something maybe is it next year or even 2025?
Sourav Ghosh: It’s a little difficult to tell how that ramp is going to occur just given the macroeconomic uncertainty overall. But we are seeing a positive trend and sequential month-to-month improvement. One other thing to keep in mind, as we sort of talked about in our prepared remarks is, we are getting a lot of demand from small and medium-sized of business transient versus the larger companies. And some of that comes in through retail, which is difficult to classify exactly as business transient. So, some of the gap or one could argue is being made up by selling more directly through retail as opposed to being classified business. But in general, we still expect some improvement to occur, but probably plateauing until there is more macroeconomic certainty.
Bill Crow: Great. Jim, if I could just ask you a quick one. You noted that you are in the hotel ownership business, which I agree, but you are also in the shareholder returns business. I am wondering if the prospects for acquisitions can be appealing enough to use capital in lieu of share repurchases?
Jim Risoleo: Yes. Bill, we are actively evaluating potential investment opportunities. I think the gating factor that really distinguish his Host is the fortress balance sheet that we have. Finishing the quarter now back down to 2.2x leverage, after all the activity that has occurred over the last several years, in particular, including the eight acquisitions that were completed over the course of ‘21 and ‘22 as well as the $1.5 billion that we put in our portfolio, all of that is leading as well as the capital allocation decisions that happened from ‘18 forward, that’s what’s leading to our outperformance today. So, I just – I want to set the table and the transformation of the portfolio with our RevPAR up 9% on a comparable hotel basis to 2017, TRevPAR up 15% and EBITDA per key up 31% and our un-blenching and unyielding focus on expenses and margins is a big reason why we were able to flow through our 24% to 27% RevPAR guidance in first quarter and deliver 31% and put in a substantial beat and raise for the entire year. So, we will continue to look for acquisitions that will elevate the EBITDA growth profile of the company. Right now, what we are seeing out there is a fairly wide bid-ask spread between sellers, what sellers want and what we are prepared to pay today. Now that can change, and it can change for a number of different reasons on. I am talking about non-distressed assets right now. But it can change as we see a clearer picture of the macro as we and everyone else draw some conclusions about how the economy is going to perform going forward. And when I say it can change on both sides, right, I mean we can get more bullish on our underwriting and have a different point of view with respect to our cost of capital. If the Fed does get into an interest cutting mode, which the Street seems to be banking on, they are looking for two rate cuts in back half of the year. I don’t know if that’s going to happen or not. On the other hand, if things get tough, then maybe some of the sellers’ expectations are going to change regarding value. So, we are keeping very close tabs on what’s happening in the transaction market. We are also tracking all of the CMBS loans that are going to be maturing later this year and into ‘24 and ‘25. So, that is one place clearly that we will be prepared to deploy capital. But the great thing about our balance sheet is that it’s not mutually exclusive from a Host perspective. We can buy assets. We will continue to invest in our portfolio. We will continue to do ROI projects to generate shareholder returns, the dividend at $0.12 a share. We will be talking to our Board about what the next quarter’s dividend is. And we have the capital available to do share repurchases as well. So, it’s kind of threading a needle, but we have the ability to do it all.
Bill Crow: Very good. Thanks Jim. Look forward to seeing you next week.
Jim Risoleo: Likewise.
Operator: Your next question for today is coming from Chris Woronka at Deutsche Bank.
Chris Woronka: Hey guys. Good morning. Thanks for all the details so far. So, my question will be on kind of group rate. It seems like you are really starting to benefit from some of the rate increases you got on stuff booked post-COVID. Where do you think you are if we want to use the baseball analogy of innings in terms of recapturing or maybe the answer is pushing group rate? I mean how long of a tail do you think that has? What kind of increases are people agreeing to now for business – group business out in, say, ‘24 to ‘25? Thanks.
Sourav Ghosh: Yes. We continue working with our managers to make sure that rate is certainly a priority. And those conversations, frankly, in a high inflation environment are much easier to have than otherwise. And if you look at sort of where we were in terms of our group rate, just for 2023 at the end of the fourth quarter, we were around 5% higher year-over-year, and we improved 90 basis points already by the end of the first quarter. So, wherever possible, we keep on pushing those rates, and we feel pretty confident that as their availability starts becoming more challenging as we go out into the future, and we have been seeing lead times really expand. So, once those specific date start getting booked up into the future, that leads to real yield management and be able to drive rates even further. So, all-in-all, a really good trend from a rate perspective, and we are seeing continuously rate strength not only into ‘23, but ‘24 and beyond.
Chris Woronka: Okay. Thanks Sourav.
Operator: Your next question for today is coming from Stephen Grambling at Morgan Stanley.
Stephen Grambling: Hi. Thanks. This is perhaps a longer term question. But with some of your brand partners in the midst of large tech investments, how would you characterize the opportunity from a tech overhaul coming from some of your partners? And then zooming out, what are your general thoughts on artificial intelligence on how that could not only approach how you bring or what you bring to the business, but also what are your brand partners fit in?
Jim Risoleo: Given that Sourav was the father of our relationship with IBM Watson, Stephen as much as I would like the answer to this question, I am going to let him answer it.
Sourav Ghosh: Thanks Jim. In terms of what our brand partners are doing with technology, I mean we have had always been at the forefront of trying out new technology, whether it’s proof of concept of piloting new technology to drive not only productivity improvement and just looking at overall sort of expenses, but also what is really going to drive customer satisfaction and what I like to refer to as sort of reduced transaction friction. And those are conversations that we have with our managers is when you think about sort of the front desk of the future, does there really needs to be a front desk period, if you are going to give – provide the optionality and flexibility to the guests of having access to your room, whether it’s through your phone or whether it’s through getting a physical key card to a kiosk and then being able to – if nothing else is there, you can approach a host or hostess to check you in. So, those are the kind of conversations we are having is how do you really leverage technology change the long-term sort of operating model that we have had and drive not only efficiencies, but improved customer satisfaction. As it relates to artificial intelligence, as Jim briefly mentioned there, we entered into this partnership with IBM Watson, back in 2018. And it really – there was – it was really IBM Research to develop a proprietary model for us that will help us identify markets that outperform or underperform and rank them, so we can make much better capital allocation decisions, whether that’s acquisitions, dispositions or frankly, even investing capital in our existing assets. And I will say this is while certainly IBM Watson couldn’t predict the pandemic, it was most accurate in terms of predicting what RevPAR would do relative to every other third-party predictor out there and including our internal predictive analytics. So, it’s been a really good partnership and it really is a tool that we utilize to help us make capital allocation decisions. But certainly on the forefront of it, we use natural language processing as well as multiple data points that are churned through IBM’s computing system to come up with those rankings.
Stephen Grambling: Helpful. Thank you.
Operator: Our final question for today is coming from Duane Pfennigwerth at Evercore ISI.
Duane Pfennigwerth: Hey. Thanks. Most of my questions have been asked. Just on BI, and I apologize if you have said this, your guidance does not include any business interruption, insurance or reimbursement there. But what do you anticipate that to be this year?
Sourav Ghosh: Frankly, it’s difficult to tell right now because it is something that we agree upon with our insurers. So, from a timing perspective and the amount perspective, exactly how much we will get this year is difficult. And that’s frankly why we have not put it in our forecast, and it’s not in our guidance. But the moment we do collect BI, we will obviously let you all know and it would flow through down to EBITDA.
Duane Pfennigwerth: Okay. Thanks.
Jim Risoleo: Sure.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Jim for closing remarks.
Jim Risoleo: I would like to thank everyone for joining us today on our first quarter call. We are really excited about the way the year is setting up for us, and we appreciated the opportunity to discuss our results with you and talk about guidance for the balance of the year. As a reminder, we will be hosting an Investor Day on May 22nd and 23rd in Orlando, Florida. We hope many of you can join us, and we look forward to seeing you there. Thanks again.
Operator: This concludes today’s conference and you may disconnect your lines at this time. Thank you for your participation.